Karen Romer: Good morning, and welcome to Hexagon Composites Quarterly Presentation for the Third Quarter 2023. My name is Karen Romer. I’m the SVP of Communications. I’ll moderate today, and here we’ve been in the studio or in the studio, in the auditorium at our Oslo offices are our CEO, Jon Erik Engeset; and our CFO, David Bandele. We’ll start off shortly. I’ll just mention now that the – those of you that have questions during the broadcast, you can – we’ll take them in the room after the presentations. But there’s also a field on your screen if you’re on the online audience that if you wish to post your question even as the broadcast is ongoing. We will have Jon Erik presenting the business highlights and update, and then it will be followed by David Bandele, who will then present the financials and the outlook. And then we’ll go to the Q&A. So thank you for joining us. I’ll now turn it over to Jon Erik.
Jon Erik Engeset: Thank you, Karen, and a very good morning to all of you. So I am happy to report a strong Q3 2023, especially so in the Mobile Pipeline segment, which had another record quarter. We have recently published that we are conducting a strategic review of Hexagon Ragasco, and last but not least, since the last quarter, we have announced significant orders, NOK1.1 billion in Agility and €20 million contract in Hexagon Ragasco. Maybe the most important slide in our deck, so far this year, Q1 to Q3, we have enabled north of 1 million tons of CO2 avoidance for our customers and that equals 250,000 petroleum cars off the roads for one year with one quarter to go for the full year. Looking at our financials, we had the top line of 1 to 50, up from NOK1.80 billion in the same quarter last year. Our EBITDA reached NOK124 million. That is including or after a charge-off NOK12 million for the strategic review in Ragasco. So the underlying EBITDA is at NOK136 million, compared with NOK68 million in the same quarter last year. Our EBITDA margin is 10%. If we then include the one-off to – related to the strategic review, that’s another percent. So we are at 11% underlying up from 6% same quarter last year, still 4% to go to reach our target of 15% in 2025. But we are increasingly confident that we will reach that. Mentioned Mobile Pipeline, so this graph on the left hand that’s the 12 months rolling sales reaching NOK116 million in Q3, and we expect continued growth now going into Q4, also very satisfactory is that not only is the cake increasing, but the distribution among customers and segments is also I would say more healthy than ever. And now 50% of the sales in Mobile Pipeline is for renewable natural gas distribution customers. So that’s very, very satisfactory. Also, while the Mobile Pipeline activity in recent years has been centered around the U.S. market. Now we’ve taken significant orders latest in Peru after the end of the quarter NOK100 million, so a very, very interesting and encouraging development in this segment. The truck market [ph] segment is also very exciting now, albeit the sales for now is kind of flattish. Significant reason for that is that probably some of our customers are waiting for the new 15 liter engine from Cummins to be launched next year. So everything we hear from them and from others is that the field trials are going very well. 25 field units under testing, several with our systems on Board, and the OEMs are expected to start taking orders from beginning next year and then assuming certification of the engine mid next year. The deliveries will start in the second half of 2024 and that will conceptually increase our addressable markets in this segment by a factor of three. So with this new engine, we can in principle offer to almost every truck customer in the U.S. And in preparation for this growth, and also in response to the growth that we have already enjoyed over the last couple of years, we have – we’re in the midst of an expansion program. This is a busy slide. I will just take you through the main highlights there. So in the period 2020 to 2022, we expanded our cylinder capacity in Lincoln in the U.S., and we also installed a transit bus line in Kassel, Germany, which freed up then also more capacity for the U.S. markets. We have done an additional expansion in Lincoln this year and we have also established Mobile Pipeline assembly capacity in our Germany – Kassel, Germany facility. And then going into 2024, we will upgrade the Mobile Pipeline cylinder capacity. We’ll replace one of the winders in Lincoln, which will increase our capacity there by roughly 35%. And we are in the midst of finalizing the investment program in Salisbury, where we will then open cylinder production also there. We have taken the decision to close down our Raufoss assembly operation and consolidate the assembly of best systems in Kassel, Germany. And finally, we are moving from a site in Fontana, California to nearby a new site in Rialto, also in California, for that part of our installation business. Altogether, these initiatives have a cost of roughly $55 million. It will increase our capacity for track and bus cylinders by at least 200%. And as mentioned, 35% increase of the Mobile Pipeline capacity. That is well above what we need for the 2025 targets. Remind you, for the group that’s NOK6 billion in revenues and 15% EBITDA, but we expect growth beyond 2025. So we are prepared for that. This is our Salisbury facility, which is the largest part of the expansion program. The white half on the right hand side, that’s the existing facility where we assemble the truck systems. And then we have erected this additional footprint on the left hand side. So the building is under roof and we will then install the lines next year. So we’ll install two winding lines for now, but we have left then significant footprint for additionally four lines if we need that, if we see that the growth goes beyond what we have in our plans for the next three, four years. And maybe it’s a question of when rather than if. And this additional capacity expansion will come at a very modest incremental CapEx, because the footprint is there, the infrastructure around is there, the organization is there. So we think we are now well – very well set up for fairly streamlined and efficient and not least competitive production structure. Ragasco recently announced a very important agreement with our long-term customer Ragasco in Saudi Arabia. Lot is going on in that region and it has a value of NOK20 million starting deliveries in Q1 next year. And looking back now at 2022 and 2023, we have opened a number of new customer accounts and then paving the way for increased recurring sales in new regions. So Middle East, but also Africa, South of Sahara, as well as Latin America very high growth – population growth regions. They are cooking domestically with coal, with organic wood and other locally polluting, very health facades alternatives. So we see a strongly, strongly growing LPG demand in those regions, which we want to take our share. Moving to Hexagon Digital Wave. We are now on a strong growth trajectory that will continue into 2024 and probably well beyond. So this is high tech offerings, Modal Acoustic Emissions, primarily used for cylinder retesting and requalification of Type 4 cylinders. So that’s a service business. Then we have ultrasonic examination UE, which is primarily used for testing of Type 1 metal cylinders. And then we have an increasing portfolio of smart systems for automation, optimization, telemetry and monitoring solutions, primarily for our Mobile Pipeline range. Last but not least, our friends in Hexagon Purus continue to deliver very strong revenue growth. They have a strong order book. The last 12 months revenue is up 56% year-over-year, particularly strong momentum for the hydrogen infrastructure solutions, so waiting for the green hydrogen to come on market in the next several years. The industrial players, they are preparing for the decarbonization of their value chain. The hydrogen, for now, is not green, it’s gray, I’m afraid. But it’s really driven by their desire to adopt hydrogen and then green hydrogen as soon as possible. So that is a strongly growing business. And it turns out that our acquisition of Wystrach a couple of years ago was a very fortunate move. We have inaugurated or rather Purus has inaugurated, their new hydrogen cylinder production hub in Kassel in Germany. That is primarily for the mobility market. So the first deliveries to Nikola have been made, and we see that market now coming strongly as projected. Good board backlog, but equally important, which is not in the backlog, because it’s frame agreements. But as you will remember, Hexagon Purus entered into, pardon me, long-term agreement with Hino, worth more than NOK20 billion, and also announced recently the dimeric operation. So very high probability and good line of sight to reaching the 2025, targets of NOK4 billion to NOK5 billion in revenue and EBITDA break even. So that’s just a few quarters ahead. So we are very, very pleased with the development there. And on that note, I’ll hand over to you, David.
David Bandele: Thank you, Jon Erik. Perfect. Okay, so we start with a beautiful heavy duty natural gas powered truck that’s a Kenworth and powered by Agility Fuel Systems. And on the back of it, our TITAN 450. So the latest Mobile Pipeline product delivering renewable natural gas to wherever it’s needed. So let’s look at the financials. Jon Erik has covered this, but again, revenue at NOK1.25 billion. So that’s a 16% growth year-over-year, again, powered by Hexagon Agility. And when we look over to EBITDA at NOK124 million for 10% EBITDA margin, again, it’s those improving margins in Agility that are now fairly sustainable at that level. Jon Erik mentioned the NOK12 million of strategic review costs in Hexagon Ragasco. So these costs are not in the Ragasco business area, but they’re in the central costs, as it’s a review initiated by corporate, of course. And if we add those back, we would get to the 11% EBITDA margin or 136 for the quarter. So good and strong results for Q3. Let’s look at the business areas. Agility did revenues of NOK1.1 billion, and that’s up 19% over last year, driven again by those record Mobile Pipeline volumes Jon Erik mentioned, but also very strong sales to Hexagon Purus. And this, again, is in the distribution, this time of hydrogen gas versus the natural and renewable gas on composite side. Still resilient Refuse Trucks and Transit Bus volumes, which is great. And then that blue bit of the pie you see of 30%. So we still have lower year-over-year heavy duty truck volumes. The good news is Q2 was higher than Q1 and Q3 has been higher than Q2. So improving volumes there quarter-over-quarter for the long haul heavy duty truck. And when we flip over to EBITDA, they’re almost tripling EBITDA to NOK125 million and posting 11% margin for Agility. Again, the higher pricing now realized through the P&L and we have stable, but high carbon fiber costs and high in the context of the last decade. But these are fairly stable now going forward. And when we look at our margin picture again, we showed this last year. So if we go back to Q3 2021, we’ve had all those pressures through 2022. Last quarter, we finally saw the pricing really kicking in to 10% EBITDA margin and again 11% this quarter. Short-term, margins, of course, they can improve further with volume, so that remains to be seen of course. But certainly in the medium-term, as we chase 2025, these margins will definitely improve with the sustainable productivity gains. We talked quite a lot about our world class manufacturing programs targeted to the U.S. factories. And then on top of that you heard about the 15 liter launch that will definitely bring a lot of scale. And those two effects really make us confident that we will hit those 2025 margins, targets of 15%. Hexagon Ragasco seasonally lower second half, I would say, soft Q3, as you see, NOK109 million in revenue so down 8%. So we had weaker volumes in Europe for the quarter, somewhat counterbalancing that we had strong growth in the Middle East and African volumes, but not enough to really capture what we did last year. And we see that on the EBITDA level, we were at NOK3 million, still making a profit, down NOK5 million from the same period last year. And of course, the margins, they are mainly impacted by the lower volumes. On Digital Wave, 17% growth year-over-year to NOK35 million in revenues. Looking at our services, the MAE business tripling growth year-over-year. So that is – the momentum is just increasing on that side of the business. And on the UE business, we had lower machine sales year-over-year, mainly timing related. We continue to invest in the operational growth there, so they will continue to weigh on margins going forward. And looking at the balance sheets, we closed Q3 with a net interest bearing debt of just under NOK1 billion. And the debt-to-EBITDA leverage then very comfortable 2.2x. And in addition then, in total, Hexagon Composites has NOK711 million of available liquidity. So looking ahead to the outlook. So this is the rest of 2023 outlook. So you can say Q4, obviously. We have very solid backlog. So again, we repeat the message that we need to focus on producing what we’re producing in a good manner. And if we do that and sell it, of course, we expect then a solid group top line for Q4. On the EBITDA side, we would expect margins somewhat similar to the year-to-date margin closing Q3. And if I go into some of the individual items, Mobile Pipeline, they have backlog that more or less covers 2024. Transit and Refuse remain strong as I mentioned. If we look into heavy duty truck, Q4 order book is healthy. That’s great. And backlog does extend into 2024. However, some of you may know about the OEM or the strike activity hitting some of the OEMs in the U.S. We have one particular customer that may be impacted. So there may be a delay, a small portion of revenues to 2024. And when I say delay, we can sort of – when I say a small, usually we consider not material to be under 5% of top line revenues. When we look at the LPG, we have seasonally lower H2 2023, as we mentioned. However, in Q4, we expect some pickup versus Q3 2023. However, there will be weaker volumes than the rather monster quarter, same period last year and same period in Q4 2022. And that’s primarily due to postponements of orders. We have a major distributor who has just postponed some orders into 2024. Same as usual for Digital Wave. And again, like I say, solid revenue for Q4 and solid EBITDA going out. Jon Erik mentioned CapEx you saw in the slide of that expansion program of NOK55 million, just to say that most of that is sunk. And in terms of going into 2024, we expect around about $10 million to $12 million on the automotive side. So cylinders in Lincoln – cylinders in Salisbury, sorry, and maybe $4 million to $5 million for the expansion in Mobile Pipeline, so again, most of that $55 million is sunk. So the key takeaways. We continue to have as through 2023, very strong top line growth. We have demonstrated visible margin improvement throughout 2023. And Hexagon Purus is now equity accounted from Q3 2023. So all those results are below the line. And we reiterate our 2025 targets for the group. So revenue should exceed NOK6 billion and our EBITDA margin should be somewhere in the area of 15%. And on that note, ask you back.
A - Karen Romer: Great. Okay, now is your opportunity to ask questions of Jon Erik and David. Do I have any in the room to start with? Yes, right here in the middle.
Vetle Wilhelmsen: Hi, Vetle, Sparebank 1 Markets. What are your thoughts on participating in any future equity races in Hexagon Purus, given the current liquidity situation?
Jon Erik Engeset: Allow me to reflect a little bit out loud on that one. So if you go back three years, December 2020, we listed Hexagon Purus and then we listed it at a price of NOK10 to NOK7 per share. That was in time of euphoria. And we were very aware at the time that we could have placed at a higher price than we did. But we did our own analysis and we balanced on the one hand, the unique technology positions that we have and had with the fact that it was a young company early on, a lot had to happen risk in the business plan. So we wanted to assure that investors would get a good return on that investment. And then we saw the share price going sky high in the following months before the sentiment changed. What has changed since? The company has, I would say, delivered remarkably on their business plan. Established six own sites in the U.S., in Europe, and one soon to be completed in China. Taking that market position and unlike many other companies in the so called hydrogen space is positioned in segments that is already growing. The distribution segment that I mentioned is already profitable at the EBITDA level. And then we have that battery electric business, which is going to boom. So there is this almost bizarre disconnect between the real world and what is now the investor sentiment. Some of us came from Brussels yesterday. We met with parliamentarians and the programs and the money that is going into the Green Deal and the REPower EU is just enormous and the same with the Inflation Reduction Act in the U.S. So that’s – that part of the equation. And then the other part of the equation is the increasing interest rate, which we understand has an impact on valuation. But for us, the current share price is just grossly undervalued. And we have said that we don’t mind or we said when we went to deconsolidation position that we wouldn’t mind in the future getting diluted. But of course, at this price level, we do mind. So without giving a more precise answer to your question, we will encourage the board and the management of Hexagon Purus to seek alternatives that take the existing shareholders’ interests into account. And we want to play a very constructive role in that. And we think that there are really good options for the company. Right now, the public structure doesn’t work. Hopefully, that will correct itself, but that’s something to be monitored and we need to just find solutions so that this anomaly is corrected one way or another.
Karen Romer: Do we have other questions in the room? I do have some from the online audience. David, what is your CapEx budget for 2024?
David Bandele: We don’t typically give that clear guidance and 2024 guidance also on the P&L will be in Q4. But I think the key point is that we will have our normal maintenance CapEx levels. But in addition, the expansion will then be another $10 million to $12 million higher than normal for the automotive business and about an extra $5 million, this is U.S. dollars for the Mobile Pipeline business in 2024.
Karen Romer: And we had another question, which I think ties into that. How much of the US$55 million in capacity investments is remaining and what is the expected phasing through 2024?
David Bandele: That’s the end of it.
Karen Romer: Also for you, David, with improving margins and NIBD/EBITDA now being 2.2x. Do you have anything to add on comments about dividends made on the Q2 call?
David Bandele: No, I think Jon Erik was very clear on Q2.
Karen Romer: Great. And Jon Erik, can you give an update on Hexagon Ragasco strategic review? How is it progressing and what is the timeline?
Jon Erik Engeset: So we don’t have to start with the last question. We don’t have a set timeline. We are now in the analysis phase, and we have had a very productive couple of months together with our advisors and a lot of interesting growth opportunities. So it’s nothing that we really look forward to if we change the ownership of that. That said, we need to ask ourselves if we are the best owner, or if maybe a new owner could realize that potential in a better way than we. So that’s part of it. And then obviously the valuation when we get to that. But still more thinking to be done and we will come back to that in due course.
Karen Romer: And then a follow-on question to that, Jon Erik, is the group margin sustainable beyond the current year, especially if the Hexagon Ragasco exit is realized?
Jon Erik Engeset: Yes.
Karen Romer: Okay. How is the room doing? Any questions here? Yes. We have one here.
Unidentified Analyst: Thank you. You’ve spent the NOK12 million on the strategic review so far. Could you help us understand what those NOK12 million entails?
Jon Erik Engeset: Yes. Obviously as a precursor to getting into the final decision where we said, let’s launch this strategic review. We’ve looked at all possibilities, looked at the market, et cetera, so consultancy fees. And then obviously, when you get into this type of process there are other professional fees involved. So we’ve had to expense those in the quarter.
Unidentified Analyst: Okay. But is it front loaded advisory fees or…?
Jon Erik Engeset: It’s not front loaded advisory fees. No. These are consultant costs to really define the business plans and what’s possible.
Unidentified Analyst: Okay. And I had another question as well. Just have to find it. Yes. The discontinuation of the assembly activities at Raufoss, is that a step of – is that part of the sales process of Ragasco? Sorry. The strategic review of Ragasco.
Jon Erik Engeset: No. Maybe I can take that. No, not at all. That’s completely disconnected. That’s a different legal entity. We made the decision in 2020, I suppose to install this. I mentioned the 315 liter line in Kassel, which is used for bus systems. Before then or before that was commissioned last year, we were shipping cylinders from Lincoln, Nebraska to Raufoss assembled there. Then we had customers in Sweden, Scania, and also some on the continent. But then to utilize the U.S. footprint for the U.S. markets get more optimized footprint in Europe, we decided to install the 315 liter capacity in Kassel, Germany. And meanwhile Scania moved their assembly or their bus assembly to Poland. So then for environmental reasons, economic reasons, logistical reasons, it makes all the sense to consolidate that part of the business in Kassel, in Germany. So with now the new Purus facility being inaugurated, we’ve freed up sways in the Agility facility and it’s going to be a very, very efficient setup. So very happy about that.
Unidentified Analyst: Sounds good. If I may have, I have a last question as well. You had this comment about full year margins being on par with year-to-date margins. And there’s no Wi-Fi in here so – and I forget what the actual margin was in Q1, but I seem to remember that Q1 margin was pretty bad, or not – it was not particularly impressive, and Q2 was roughly 10%. And Q3, you have this NOK12 million charge, so that kind of pulls down the margin as well. Does that suggest that margins will decline compared to underlying margins in Q2 and Q3 and Q4? Because everything else you say seems to be suggesting stronger margins in Q4.
Jon Erik Engeset: I would say I think it’s around about 9.3%, 9.4% year-to-date margin. So its somewhere around there, I think is a good enough guidance.
Karen Romer: Okay. I have another question from the online audience. David, what is the size of revenue potentially, or Jon Erik potentially being shifted to 2024 due to the striking activity in the U.S.? And how could the strike impact us longer-term?
Jon Erik Engeset: Sure. Today what we see is under 5% of group revenues. So not really material, but worth a comment.
Karen Romer: Anything else here. I have one more on the online. When will you be guiding for full year 2024?
Jon Erik Engeset: We will typically guide then in the Q4 presentation in February 2024.
Karen Romer: Excellent. And I think that wraps it up for the online. Anything else here in the room? Okay. Great. But then thank you very much for joining us today, and I hope you all have great day forward. See you next time.
Jon Erik Engeset: Thank you.
David Bandele: Thank you.